Operator: Welcome and thank you for standing by. At this time, all participants are in a listen-only mode until the question-and-answer session of today’s conference. (Operator instructions) I’d like to inform all parties this call is being recorded. If you have any objections, please disconnect at this time. I would now like to turn the call over to Mr. John Seaberg, Vice President of Investor Relations. You may begin, sir.
John Seaberg: Good morning and thank you for joining us on our first quarter earnings call. With me today are the members of our executive leadership team, who will be available for questions at the end of the presentation. Before we begin, I’d like to refer you to our cautionary statement on slide two, as we will be discussing forward-looking information involving a number of risks, certain of which are unique to our industry, as further described in our SEC filings, which can be found on our website at www.newmont.com. And now I will turn it over to Richard O'Brien, our President and Chief Executive Officer.
Richard O'Brien: Thanks, John, and good morning, everyone. For those of you with access to our webcast presentation, I’d like to begin on slide three. With our average realized gold price up 22% to $1,106 per ounce and our average realized copper price up 97% to $3.33 per pound from the first quarter of 2009, our first quarter operating cash flow increased from $381 million to $728 million. Our revenues also rose, increasing from $1.5 billion to $2.2 billion while our adjusted net income improved from $199 million to $408 million. As these financial results clearly indicate, we continue to offer investors substantial gold and copper price leverage. As shown on slide four, we also continue to meet our operating targets. During the first quarter of this year, we produced 1.3 million equity ounces of gold and 90 million equity pounds of copper, with cost applicable to sales of $480 per ounce of gold and $0.78 per pound of copper. For the year, we continue to expect gold cost applicable to sales of between $450 to $480 per ounce. In 2010, we are experiencing pressures relative to our full year 2009 CIS [ph] of $417 per ounce, primarily driven by lower production volumes in Nevada, Peru, and Ghana, and as a function of higher cost underground production at Nevada and higher mill production at Yanacocha. The lower cost production from Boddington should offset some of these operating costs, as we ramp up the full production towards the end of this year. Additionally, the remaining third of the year’s increase over last year in CIS I is a result of higher gold prices and an unfavorable Australian dollar exchange rate. Despite these operating cost pressures, we continue to expect full year performance in line with our existing outlook. We continue to advance our development projects with encouraging results. During the first quarter, we made progress with our engineering, optimization, permitting, and community relations (inaudible) Conga, Akyem, Hope Bay, and Nevada projects. Collectively, these opportunities currently represent up to $30 million to $40 million targeted equity ounces, a potential reserve and resource development opportunities, approximately $20 million of which are currently in proven and probable reserves, which could grow with positive exploration results over time. Our first quarter financial and operational results speak to the strength of our commitment to execution and increasing our financial returns, as well as to the dedication of our employees around the world to deliver safely on our plans and provide the highest value to our shareholders. Moving to slide five, we remain bullish on metal prices. Robust fundamentals, including evidence of a rebounding jewelry market in India and growth in the jewelry market in China, plus sustained industry inflows and historically low Central Bank sales continue to support gold price performance during the first quarter of 2010. On the supply side, European and Central Bank sales were near zero, while Russia brought approximately 8 tons of gold in the first quarter, as it continues its gold purchasing program. With Central Bank sales essentially non-existent and some countries actually buying gold, extra supplies not being pushed into the market causing supply to tighten even further. In addition to these factors, we believe mine supply will also remain constrained due to declining grades on a global basis. On the demand side, many developing economies are recovering faster than the developed counterparts, especially in countries like India and China, which are key markets for gold consumption. The continued recovery of these developing nations should have a positive impact on gold demand. In addition, medium-term concerns surrounding sovereign debt rates in some regions are likely to favor gold, as investors put their trust in gold rather than currency. Overall, investment interest in gold remains very strong, as demonstrated by a record high for the amount of gold held by ETFs reached in the first quarter. In copper, we believe a strong pricing environment will continue to be driven by a revival of consumption both in the West and in China. Additionally, the tight copper concentrate supply will likely keep upward pressure on pricing as demonstrated by relatively low smelter processing charges. I’d now like to turn the presentation over to Russell Ball, our CFO, who will get further into the details of our quarter.
Russell Ball: Thanks, Richard, and good morning all. For the first quarter, we generated revenue of $2.2 billion, a 46% increase over the first quarter of 2009. Net operating cash flow was approximately $728 million, a 91% increase over 2009. And our adjusted net income rose to $408 million or roughly 105% increase over the first quarter of 2009. Higher gold and copper prices and significantly higher copper production from our assets in Indonesia were a most significant contributors to the increase in net income. Turning to slide seven, equity gold production was approximately 1.3 million ounces, and average realized gold price was up 22% to approximately $1,100 an ounce. While the cost applicable to sales increased approximately 11% to $480 an ounce, gold operating margin expanded by 32% to $626 an ounce. On a year-over-year basis, CIS increased from $431 to $480 an ounce, primarily due to lower production as a result of the slide late in the fourth quarter of 2009 and higher mining costs in Nevada. Lower production, higher waste mining, higher royalties and workers participation at the Yanacocha, and finally, from the ongoing ramp-up at Boddington. As Richard mentioned earlier, for the year, we have maintained gold production and operating cost guidance despite a change on gold price assumption to $1,100 an ounce and now – or the dollar assumption to $0.90, which collectively add between $15 and $20 per ounce. The TFO more than happy to pay these increased operating costs, given the positive increase in operating margins and free cash flow that accrues. Turning to slide eight, copper production increased 143% to 90 million pounds with an average realized price of $3.33 per pound, an improvement of 97% from the year-ago quarter. Copper production was up significantly due to the fact we are in Phase V mining at Batu Hijau this year. We will essentially complete Phase 5 mining at Batu Hijau this year, as stripping for Phase 6 will begin in earnest in 2011. Cost applicable to sales decreased 12% to $0.78 a pound resulting in a 219% increase in our copper operating margin. As you will see on slide nine, gold margin for the quarter increased by a third to $626 per ounce despite the higher costs applicable to sales. When factoring in copper byproduct revenue as copper credits, cash operating margin increases from 58% to approximately 78%. This leverage to gold and copper prices demonstrates our ability to generate significant cash flow from our existing production base of approximately 5.3 million ounces. I would now turn it over to Brian Hill, our Executive Vice President of Operations, to discuss our regional operating results for the quarter.
Brian Hill: Thanks, Russell. As you can see on slide 10, each of our four regions performed essentially in line with expectations in terms of gold production, with North America’s production being just a little bit higher than what we were expecting. Costs applicable to sales were slightly higher than expected in North America due to higher underground mining costs, higher production taxes, and lower byproduct credits in Nevada. At Yanacocha, costs applicable to sales were higher than anticipated due to higher milling costs. Lower production from the leach pads, higher workers participation, and royalty costs related to the higher realized gold price and lower byproduct credits. Costs applicable to sales at Ahafo in Ghana were slightly lower than expected due to lower power costs and lower mining costs. Costs in the Asia-Pacific region were essentially in line with expectations of higher cost production from Boddington as a result of lower than expected gold grades was offset by lower cost production at Batu Hijau due to lower mining costs and a lower allocation of costs to gold. The other operations in Australia and New Zealand performed as expected. In summary, the portfolio is working and we continue to expect equity gold production for the year of between 5.3 million and 5.5 million ounces and costs applicable to sales of between $450 million and $480 per ounce. Turning to slide 11, I’m proud to give you an update on the ramp-up of Boddington. As a reminder, Boddington achieved commercial production in November of last year, and the first quarter of 2010 represents just the first full quarter of commercial production. For the first quarter, gold production increased 34% to 158,000 ounces and copper production increased 40% to 14 million pounds from the fourth quarter of 2009. We are in the process of commissioning the fourth course ore screen that was installed late in the first quarter, and that’s progressing as planned. Overall, our gold and copper recoveries have continued to be stronger than our existing mine plan. However, we have experienced some volatility in our ore grades, resulting in lower than expected gold grades and higher than expected copper grades as we continue to reconcile the block model with our tool production. Our site operation and commissioning teams continue to improve plant performance. The concentrator throughput is performing as expected and at levels consistent with the 12-month ramp-up schedule. And as of the end of the first quarter, total tons mined from the pit are within 10% of the current mine plan. We are hosting a site tour at the end of September, and we hope to see many of you there where we can show you more of the operation firsthand. I also wanted to briefly mention the earthquake that we experienced near our KCGM operation last week. The 5.2 magnitude earthquake caused us to temporarily suspend operations for the safety of our employees and contractors. There were no injuries and no significant damage to our operations, and normal operations resumed the following day. Guy Lansdown, our Executive Vice President of Discovery & Development, will now give you a brief update on our major projects.
Guy Lansdown: Thanks, Brian. As you know, we are very excited about our pipeline of projects that we anticipate will bring between 30 million and 40 million targeted ounces to production in the coming years, of which approximately 20 million ounces are currently in proven and probable reserves, which could go with positive exploration results. We won’t get into too many details on the full extent of our project pipeline on this call. For that, we look forward to discussions with you at our Investor Day presentation on May the 27th with the intent to deep dive our projects in each of our regions. Slide 12 shows our major projects in each of our regions. As we indicated last quarter, we are advancing development of the Hope Bay district with an underground focus of the Doris north deposit. We have increased this year’s funding for this program to between $180 million and $200 million, accelerating 2010 construction and development activities. As a result, we have increased our 2010 outlook for advanced projects R&D spending to between $230 million and $250 million, up from $185 million to $210 million. We are currently deploying supplies for this program from multiple ports on the East and West Coast in a carefully coordinated sealift, supporting development of additional surface infrastructure and (inaudible). We are executing development and exploration drilling programs in parallel, with 18,000 meters of drilling completed so far this year, and early results supporting our resource expectations. Although we are in the early stages, we remain energized about the opportunity and the experienced team and key contractors we now have in place on the significant assets. I also want to congratulate the Hope Bay team for recently celebrating two years without a lost time accident, over 1.2 million man hours as of April the 20th of 2010. At Conga, we had a very successful public hearing on March the 31st of this year, with over 4,000 people participating in the event, including national and local government officials, farmers and other members of the community. In addition, we continue to build the Conga development team and trade execution strategies while advancing engineering. Our Akyem project in Ghana is expected to complete the stage 4 (inaudible) in the second half of 2010, with production still targeted for late 2013 to 2014. Following the receipts of the mining lease in January, negotiations with the local communities regarding land access and crop compensation continue. And we have now got 70% completed engineering work. We are also excited about the Subiaco expansion where we currently have identified a target of approximately 7 million to 9 million equity ounces of gold, of which approximately 3 million are in proven and probable reserves. We are advancing simultaneously surface and underground development programs. Our exploration and development team made good progress, advancing approximately 500 meters a day, and we have completed 8,000 meters of exploration drilling this year. Turning to slide 13, as part of our Nevada portfolio, we have excellent new explorations results (inaudible) project that provides a possibility to double our current reserve with potential to expand within and beyond the footprint shown on the slide. In an effort to better understand the potential of this core asset, we have been executing in parallel a surface drill campaign and drilling from underground platforms with approximately 20% of this program completed so far this year. We drilled approximately 15,000 meters from surface in 2009 with the intent of better understanding the full extent of the orebody. The results of this program will be an exceptional. To highlight a few results, I would turn your attention to the map on the right. On the north end of the map, 1,000 meters beyond our end of 2009 and our reserve footprint, we have anticipated 10 meters of 13 grams per ton in the drill hole called CGXH. This combined with multiple favorable insights to the south suggest potential to expand underground minable mineralization well beyond current levels. In addition, I would highlight the drill hole called CGX-2 where we intersected 10 meters of 22 grams per ton, roughly 250 meters to the list of previously modeled Leeville mineralization. We are excited by these new expansion discoveries in our core Nevada assets and plan to increase funding for additional inflow and step-up drilling. I’m now going to pass the mike back to Richard for an update on our Batu Hijau ownership.
Richard O'Brien: Thanks, Guy. As previously announced, we recently completed the sale of the 2009 portion of the divestiture shares under our contracted work at our Batu Hijau operation in Indonesia. As you recall, in the fourth quarter, we obtained a 17% effective equity ownership interest in PTNNT as a result of a loan made to our Indonesian equity partner. As you see on slide 14, at year-end, we directly own 35.44% of Batu Hijau through our NTP investment with Sumitomo. Adding the 17% collateral ownership, our year-end 2009 economic ownership is 52.44% and we held that interest throughout the first quarter. In March, we finalized the sales of 2009 divestiture shares, which reduced our effective ownership position to 48.5%, which is where it stands at the end of the quarter. As a result of this sale, we’ve adjusted downward our 2010 outlook for equity copper production to between 330 million to 360 million pounds, down 20 million pounds more to previous outlook. One final divestiture tranche remains outstanding, which is the final 7% of the PTNNT that was offered for sale on March 31, 2010. The offer price was $444 million for the 7%, or approximately $6.3 billion on a 100% basis. Once the sale closes presumably sometime later this year, our economic ownership will decline to 44.56%. At that time, the divestiture process would be complete. Turning to slide 15, I’d like to reiterate that Newmont continues to perform well operationally and financially while simultaneously continuing to strive to maintain our leadership position in safety, sustainability and community relations. For the third consecutive year, we were selected Dow Jones Sustainability World Index, an accomplishment of which we are very proud. We also achieved International Cyanide Code Certification at all of our mines, except at Boddington where we are still to ramp up and where we should start to receive the certification in 2011. We are in the implementation phase of our community relations review, which we envision as our roadmap to uniform and industry-leading community relations throughout the world, and we have created our global carbon management team to help us navigate through the responsibilities of being a good global citizen through management of our carbon footprint. In closing, we had another quarter of strong operational and financial performance. And we continue to demonstrate our ability to deliver on what we say we will deliver. We continue to generate significant cash flow today from our gold and copper production, combined with the relentless focus on cost containment and margin expansion. We are in the process of executing on our business excellent program, which is expected to create significant value, additional value across our regions, functions, and the operations over the next three years. We are aggressively advancing our project pipeline as well as investing in our exploration program to develop our operating assets of the future. We’d be giving a lot more detail on these efforts at our Investor Day presentation on May 27th in Boston, for which we hope many of you can join us either on person or via the webcast. I’d like to express my thanks to our dedicated employees and contractors for another outstanding quarter. And with that, operator, I’d like to thank you all for listening and turn it back to you for questions.
Operator: Thank you. (Operator instructions) Our first question comes from John Bridges.
John Bridges – JPMorgan: Thanks, Richard and everybody. And congratulations on the results. I just wondered if you could give us a bit of clarification on the fine tuning of Boddington in respect of the grades of the gold and the copper. And maybe some sort of percentage breakdown as to how you expect the ramp-up to go during this year.
Richard O'Brien: Yes. Let me just introduced by reminding that we are in ramp-up. We are one quarter – one full quarter into it, and as the slide showed, about 4.5 months, because we really started in November. So with that, Brian can talk a little bit about it. I’d say, the expectation for ramp-up is that, as we’ve said, we expect to be in full production towards the end of the year and we will be ramping up along the way. It will be a little volatile back and forth, and I think that includes both tons and grade and output. So Brian, do you want to add a little bit to that?
Brian Hill: Yes. Thanks, Richard. John, I think if you recall, we’ve said we were looking at about a 12-month ramp-up period to get to 100% production. So we are hoping to get there around the third quarter of this year on a basis over Q1. We are actually running the plant at about 70,000, 75,000 tons, which is getting close to that 70%, 75% of capacity. And that’s essentially on target with where we are at. We are extremely pleased and happy with how the plant has ramped up. With respect to your question around the grades, for us it’s still early days. As we’ve said, we are just sort of one quarter into full production. We’ve got a number of different geological domains that we are mining. And as we mine those and reconcile them to the model, it’s really when you get actual production that we can go back and actually see how we are doing. So as we said, we are slightly – we are slightly down on the gold grade and up on the copper grade. And I think we still need to get a couple more quarters under our belt with mining and some of the different domains to be able to come back with some more definitive answers around the reconciliation. A couple of things that we have done is we did put the fourth course ore screen in. We did leave space to be able to do that because we always knew that the dry plant might be an area where we needed to increase capacity. We are also bringing in our sixth secondary crusher, sixth MP1000. The space was left to bring that in. And these are really to help increase the rate at which we get up to full production, and in fact, they are going to allow us probably to go over a name plate capacity, as we get towards the end of this year and into 2011.
Richard O'Brien: So, John, I’d just add, as we go into the year, we will continue to provide information around grade and reconciliation. We just need some more time as we ramp this up.
John Bridges – JPMorgan: Okay. As a follow-up, as the interest in the drilling around Leeville, and are there other opportunities within Nevada, because you do have a big line position there and we’ve spoken before about projects that higher gold prices might become attractive.
Richard O'Brien: Yes. We are very excited by the growth prospects in Nevada. And I think after a number of years of making sure that we can get the operations right there, the team is really focused on growth. And Guy may want to add a few things to that.
Guy Lansdown: In a number of products – John, good morning to you. A number of projects that we have out there in addition to Leeville, obviously we’re excited about what we’re finding there. Gold quarry is another one of the big ones. In addition to that, we have up to 25 projects through various stages of the pipeline throughout the state.
Richard O'Brien: And on a return basis, obviously these are the highest returning projects that we have really because we use a lot of the existing infrastructure, although if things continue as well, Leeville and Turf is we are seeing, we will be adding infrastructure to access that production.
Guy Lansdown: And the challenge for us will be permitting, getting our permits in place, which we have a team actively working on to support the development of these projects.
John Bridges – JPMorgan: Okay. Guys, good luck.
Richard O'Brien: Thanks, John.
Operator: (Operator instructions) Our next question comes from Jorge Beristain. Your line is open.
Jorge Beristain – Deutsche Bank Securities: Yes. Good morning and congratulations on the strong results. This is the second quarter in a row where you’ve topped sort of dollar per share earnings and you continue to maintain your dividend policy at $0.10, in line with what you’ve done historically for the past few years when you had a much lower EPS. So my question is, where is management’s thinking in terms of when would it make sense if to raise a dividend in the future, what would you favor, higher cash dividend or share buybacks? And then in terms of your growth, obviously there are some M&A opportunities happening overseas. Just wanted to get your view as to if you believe your best internal – your best growth option to your internal as you’ve highlighted in Nevada and possibly in Africa medium-term.
Richard O'Brien: Okay. So a couple of questions there. First, on the dividend, as you know, the market for gold stocks doesn’t necessarily pay an increasing value related to increasing our cash dividend. I would say though if we do anything, it’s more likely that we would probably have a cash dividend increase rather than a share buyback, because we also believe although I can’t say that financially this makes a lot of sense that it’s not clear to us the per share metrics, really drive a lot of valuation again in the market. We believe it should. And over time, as it does, I think you will see us be more responsive to increases in dividends and perhaps share buyback if we can continue to generate significant cash flow, as we are over the past three quarters really. So our balance sheet looks in good shape to develop these projects. We are finding some interesting opportunities internally. That’s where we’d rather invest our cash versus at the external projects or an increase in the dividend, we’d rather go for growth and drive our return on assets up by having appropriate investments. And I would say that relative to external investments, we would prefer internal investments every time. That doesn’t mean that we won’t look externally, but we will look at that in terms of the trade-off between paying a premium to acquire something, issuing additional shares, because we do think that dilution matters and making sure that we properly evaluate opportunities. If we do see something in the market, for the upside that they made bring in addition to current assets. So I think a wide ranging view here in terms of our openness to look at things. But as we continue to look – I’d say, we continue to believe that exploration, the project development, and M&A are the way we are going to continue to build the company and will flex back and forth.
Jorge Beristain – Deutsche Bank Securities: Okay, thank you.
Richard O'Brien: Yes.
Operator: Our next question comes from David Haughton, and your line is open.
David Haughton – BMO Capital Markets: Yes. Good morning and thank you for the rundown. I’ve got a couple of questions with regards to Batu Hijau. Firstly, the proceeds from the sales, are they recorded in your cash flow for the quarter?
Russell Ball: Yes. In the financing section, David, I can step you through it. You will see a line in there, Proceeds from non-controlling, it’s about 220 million. And then the shade at Sumitomo is entitled to the NTP partnership of approximately $100 million is included in the line Dividends paid to non-controlling shareholders. So what you will see in the financing activities section is a mix of about $129 million that accrued to Newmont shareholders.
Richard O'Brien: To be clear though, Russ, they are not in our operating cash flows. They are in the financing cash flows.
Russell Ball: (inaudible) that’s correct.
David Haughton – BMO Capital Markets: Thank you, Russell. I was looking for that $129 million. The second question, still on Batu Hijau, I noticed that you are in the bottom of the pit and it is seasonal whether you are down in the bottom or not. And you had expressed that the higher tonnage in grade was as a result of that. What kind of profile could we expect for the balance of the year?
Brian Hill: David, it’s Brian. We are not quite in the bottom of the pit yet. We are still mining in the upper benches in Phase 5, but we are getting better grades and better mill throughput. We are just coming into the dry season now. So we are in the process of dewatering the bottom of the pit in Phase 5. So our expectations are that we will be down in the bottom of Phase 5 later in Q2 and Q3 until the rains come again either late Q3 or early Q4. So we should see higher production coming out of Batu over the second and third quarter, as we get into that sort of sweet spot, which is the central core at the bottom of Phase 5.
David Haughton – BMO Capital Markets: And then just following on from that, I presume as the conditions (inaudible) slightly lower production in the fourth quarter and then you start in 2011 moving into the stripping phase.
Brian Hill: That’s correct. Slightly lower in Q4 and then 2011, as Russ mentioned, concentrated stripping in Phase 6 with lower production next year.
David Haughton – BMO Capital Markets: All right. I have another question, different topic. Outlooking at Hope Bay, I heard you mention that you are expecting to spend $180 million to $200 million on Doris. Is it correct for this year?
Guy Lansdown: This is Guy. That is correct. Last time we mentioned we were counting on spending of the order of $140 million this year. We’ve increased that spending to between $180 million and $200 million. We are advancing activities that we had planned for 2011 into 2010. And the bulk of it is shipping supplies and equipment up. We believe underway at the moment was an (inaudible), as I mentioned earlier. And what we’d do is just start the decline later in the year, which is going to take up a fair amount of that cost. In addition to that, we’ve got drilling activities and we’ve advanced a number of infrastructure construction activities like roads, camps, and the fuel pumps. So we are pretty excited about the program we’ve got underway this year.
David Haughton – BMO Capital Markets: Right. And what we see at kind of place of expenditure in 2011 as well?
Guy Lansdown: We’d certainly hope so. A lot would depend on what we find when we get into the decline, and we start exploring underground, but our hope is that we’ve continue at a pretty aggressive pace if all the signs are positive.
David Haughton – BMO Capital Markets: Okay. And do you have a sense for what the total project CapEx might be?
Guy Lansdown: Not at this stage, David. We are in real early stages again depending on what we find as we get into the decline. And as we go through the study first, we’d develop a range but it’s a little too early to give any idea of what the total CapEx might be.
David Haughton – BMO Capital Markets: So then the development potential of Madrid and Boston would be pushed sometime out into the future and you’re focusing on Doris at the moment?
Guy Lansdown: Yes, that’s correct, David. We’re focusing on Doris right now, but obviously Boston and Madrid, we’d like to follow up pretty shortly after Doris. Again, positive result spending.
David Haughton – BMO Capital Markets: Now, with this decline, clearly it’s still exploratory at this stage, but I presume it would be built to a development style if things turned out the way you hope it would be.
Guy Lansdown: Yes, Doris is – the Doris project is one that we’ve actually got a permit for at present. So we would concentrate our efforts over there. It’s – it would be pretty small scale. Again, if positive results – if we return positive results in our decline, we’re focusing on understanding what the grade and continuity would be, what the mining course would be, taking into account your technical and geological conditions. And obviously that will give us a bit of feel for what the district might look like.
David Haughton – BMO Capital Markets: Right. On a different continent now, I heard that the Super Pit earthquake had disrupted some production. Is that going to have any impact on the second quarter output?
Russell Ball: No, it actually didn’t disrupt any production that we had at KCGM, David. So it’s not going to have an impact on us.
David Haughton – BMO Capital Markets: All right. That’s it for me. Thank you.
Richard O'Brien: Thanks, David.
Operator: Our next caller is from – Barry Cooper, your line is open, sir.
Barry Cooper – CIBC World Markets: Yes. Good day, everyone. Just wondering if you could clarify some of these numbers that you have at Leeville and Turf looks obviously quite interesting. But can you tell me what is the cut-off that you are using for your mining at Leeville just so we can put it into context of what kind of prices above and below the threshold there?
Guy Lansdown: Barry, I’m sorry. I don’t have the current cut-offs off the top of my head. This is Guy. I can certainly give it for you. And we do have Investor Day coming up May 27th. We would love to go through these projects in more detail with you. So (inaudible) off the top of my head.
Richard O'Brien: Yes, Barry, I can follow up after the call.
Barry Cooper – CIBC World Markets: Okay. Then the second question, your – I'm assuming you are having some pretty good success with high pressure grinding mills and whatnot. Is there any other application that you can see using those for, because obviously there are others out there in the world that are using these more and more now? Indeed I have to assume that you have a bulk load of low-grade sulphide mineralization that’s too low for your – too low grade for your mill, but might be something that could be (inaudible) as we went through our pressure grinding rolls and whatnot because that is certainly being contemplated now. Have your impact started doing any of that work or thought process?
Richard O'Brien: Barry, we were pretty excited about the way the prices are performing at Boddington. And we certainly look at these where applicable for some of our earlier stage projects. Obviously you need high – very hard material that tend to be much better performance with hard material. Certainly, as we go through projects where that could be applied, we take that into consideration.
Brian Hill: Barry, one place we might look at them is in application at Batu. And if we look further out at some of the other opportunities like in long [ph] that we have in Indonesia, I mean, they performed exceptionally well for our sect at Boddington. We just couldn’t have asked for better performance out of them so far in this first phase of ramp-up.
Barry Cooper – CIBC World Markets: What about things like in and around Phoenix? I realize it’s a different piece and whatnot, but I think a better thing is current and typically very hard mineralization there as well. And I know you maybe don’t want upset the apple cart because that one had trouble starting up and you’ve mastered those now. But is there anything there that could be utilized or held for in Nevada?
Richard O'Brien: I think there is certainly some potential applications that we will continue to look at. I think it’s wonderful to have this operating experience coming out of Boddington, and we’ll certainly going to take that and leverage is going forward. As you know, they present a form of crushing, which just brings a significantly lower power cost to actually crush raw.
Barry Cooper – CIBC World Markets: Right. OK, thank you very much.
Richard O'Brien: Thanks, Barry.
Operator: Our next question comes from Patrick Chidley, and your line is open.
Patrick Chidley – Barnard Jacobs Mellet: Hi, guys. Just couple of quick questions. Just firstly on the philosophy with regards to growth, you’ve got one of these great projects that you are bringing forward slowly over the next few years. But what are you thinking about the balance of geography that you would be comfortable with in terms of balancing different countries and the country risks. Is there any sort of firm views on percentage-wise you have in developed markets and non-developed markets?
Randy Engel: Hey, Patrick, it’s Randy. We actually, I think, feel very comfortable with the mix we’ve got right now. We actually have a presence across the globe. We’ve got a good set of four quarter regions. We are comfortable in each of those regions. We are actually comfortable looking to expand in each one of them. So you see us looking to expand in South America, we’ve got expansion in North America, we’ve got the same in Africa, and you’ll see us doing the same in APEC. That was certainly our first choices to expand around those existing regions. But we do have appetite to go beyond that as well.
Richard O'Brien: I think – Patrick, just – sorry, it’s Richard. Maintaining a good level of production, whether that’s 50% or 40%, but something like that to AAA over time is currently where our portfolio sits. And to the extent that we continue to look to add to that, I would hope that we’d be able to either develop or acquire assets that continue to have AAA ratings so that we can actually balance the overall portfolio over time. With proviso that who knows what AAA is going to be as we move into time here.
Patrick Chidley – Barnard Jacobs Mellet: Right, right, right. But basically you want to keep that mix that you’ve already got as a sort of a cornerstone of the portfolio mix?
Richard O'Brien: Yes, we’ve got – averaged about half of our operating margin coming out of Asia-Pacific and North America with that focused out of Australia and Nevada. I think that’s a mix to the extent that we can keep roughly half of that in that kind of profile. That’s preferred.
Patrick Chidley – Barnard Jacobs Mellet: Great. Thanks. And just quick one on exploration, Boddington, you mentioned anything on what’s been going on at Boddington? I think last quarter you did refer to some positive results. And I just wanted to see where you are on that.
Guy Lansdown: Patrick, this is Guy. The positive results were on the northern extent of the purchase that we had seen relatively higher grade material. We continue drilling in the area looking for similar opportunities. Obviously there are a little further out in the mine plan, but as we are doing at gold quarry, and Leeville we turn out to understand the fuller extent of these opportunities so that we can optimize them down the road. And that’s what we plan to do going forward with Boddington.
Patrick Chidley – Barnard Jacobs Mellet: Okay. So it’s just an ongoing process really?
Guy Lansdown: Yes, that’s right, Patrick.
Patrick Chidley – Barnard Jacobs Mellet: Okay, great. Thanks very much.
Richard O'Brien: Thanks, Patrick.
Operator: (Operator instructions) Our next question comes from Stephen Walker. And sir, your line is open.
Stephen Walker – RBC Capital Markets: Thank you very much, operator. Two questions, but first with respect to the government of Ghana had made some comments here recently about revisiting existing tax and royalty structures for the mining operations in Ghana. First of all, how would this – can you give us an update on where that stands and potential impact for a household. And secondly, most of that, with respect to receiving the mining lease for Hakeem, what if anything, has been decided in the way of taxes for that project?
Richard O'Brien: Thanks, Stephen, for that question. So I’ll try to answer both at the same time. We have an investment agreement that was entered into – before we began the development of the households and because we knew that Akyem might at some point be developed. Actually, Akyem is covered by the same investment agreement. So we are actually protected, if you will, against upward changes and taxes, changes in the tax structure, and upward changes in the royalty. All that said, we do have a new government that came into place at the end of the year. And they have indicated a desire to review our investment agreement. And what we’ve told them is that – we have a contract, but of course we will sit down and talk with them. So what I would tell you is that while we won’t be impacted directly by some of the changes that continue to be talked about in the government and the impact on other mining companies. I would tell you that while we are protected, we do want to be a good citizen in Ghana. So we will probably make some changes over time. I don’t know what those look like. And I would tell you that because we have an agreement, it probably won’t look like everybody else’s. But we will try to make sure that while we assure shareholders’ return that if we continue to be an environment of higher gold prices we do reflect some additional return back to Ghana. But this is all under development and we will just see how it goes as we move forward over the next couple of months. And I would say that probably going to be that kind of timeframe before we really know what the total impact is going to be and we will keep you apprised.
Stephen Walker – RBC Capital Markets: Great. Thank you, Richard. Second question has to do with costs outlook on a quarterly basis. You’ve seen a sharp price from the fourth quarter cost of about $413 million on a co-product basis to $480 per ounce. The $480 is at the upper end of your guidance, which suggests that going forward there is potential for decline now. I don’t know if you can give us any detail on how you think the quarters will look, or is it safe to assume that there will be a much more positive contribution for Batu in the second and third quarter. And then an ongoing positive contribution from Boddington just with respect to quarterly modeling. Can you give us a little more guidance on that for 2010?
Russell Ball: Yes, Steve, it’s Russ. You essentially spot on us, as Brian mentioned earlier, and historically what we’ve seen is a strong Q2 and Q3 in the dry season in Indonesia. And as we mentioned earlier, we will be in the bottom of Phase 5, and that’s with the high grade copper and gold, more particularly six. We’ll have a nice second and third quarter there. And then with the ongoing ramp-up and you saw on slide 14, I think it was the ramp-up cliff as that continues to progress to full production. We’ll see cause decrease in Australia and production increase. So you should model that in. And again, we have changed our assumption on gold price in Apex. And that’s added about $15 to $20 an ounce. And we’ve absorbed that into the cost guidance. So yes, it has moved towards the upper end. But we still feel very comfortable that we can deliver based on the results of the first quarter at least.
Stephen Walker – RBC Capital Markets: Great. Thank you very much, Russell. Thank you
Russell Ball: Thanks, Steve.
Operator: I would now like to turn the call over to Mr. O'Brien for any closing comments.
Richard O'Brien: Okay. Thank you, operator. And thank you, everybody, for attending our call today. And we look forward, as we said, to seeing many of you either in person or over webcast on May 27th. Have a great day.
Operator: This concludes today’s conference call. We appreciate your participation. You may disconnect your lines at this time. Have a great day.